Operator: Good day and welcome to the UTI Fiscal Second Quarter 2019 Earnings Call. [Operator Instructions] As reminder, today's conference is being recorded. A replay of the call will be available at www.uti.edu or through May 24, 2019, by dialing (412) 317-0088 or (877) 344-7529 and entering passcode 10130240.
 At this time, I'd like to turn the conference over to Ms. Jody Kent, Vice President of Communications and Public Affairs for Universal Technical Institute. Please go ahead. 
Jody Kent: Hello, and thanks for joining us. With me today are Kim McWaters, President and Chief Executive Officer; and Scott Yessner, Interim Chief Financial Officer. During the call today, we'll update you on our fiscal second quarter 2019 business highlights, our financial results and our vision for the future. Then we will open the call for your questions.
 Before we begin, we must remind everyone that, except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities and Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I will refer you to today's news release for UTI's comments on that topic. The safe harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management as well as answers to questions. 
 During today's call, we'll refer to adjusted operating loss, adjusted EBITDA and adjusted free cash flow, which are non-GAAP measures. Adjusted operating loss is loss from operations adjusted for items not considered normal recurring operating expenses. Adjusted EBITDA is net income before interest, income taxes, depreciation, amortization, adjusted for items not considered normal recurring operating expenses. Adjusted free cash flow is cash from operating activities less capital expenditures adjusted for items not considered normal recurring operating expenses. Management utilizes adjusted operating loss, adjusted EBITDA and adjusted free cash flow as performance measures internally, and those will be the figures discussed on today's call.
 It is now my pleasure to turn the call to Kim McWaters. Please go ahead, Kim. 
Kimberly McWaters: Thank you, Jody. Good morning, everyone, and thank you for joining us today. I'm pleased to report another strong quarter of solid year-over-year start growth. During our second quarter fiscal 2019, new student starts grew 11.2% compared to the prior year. This is the strongest growth in Q2 starts that we've seen since 2016. Total new student starts were 2,022, an increase of 203. The start growth was driven by the continued and consistent progress made under our multiyear transformation plan and our new campus and program growth initiatives. Approximately 50% of the quarter start growth was attributable to our Bloomfield, New Jersey campus with the remainder coming from our same school campuses.
 After 3 consecutive quarters of strong start growth, in March, we achieved another major milestone when our average student population grew for the first time in 8 years. This is a key inflection point that we have been working toward. Growth in our average student population is a key driver of revenue growth and profitability as the incremental margin of each additional student is better than 65%. There's tremendous operating leverage in this business as the student population grows. 
 You may recall that last quarter, I shared 3 primary strategic objectives for fiscal '19. I'd like to remind you of these important objectives and share our progress year-to-date. Our first objective is to leverage the implementation of our 2018 transformation plan to grow new student starts across our campus footprint into 2019 and beyond. 
 Let's first talk about what we are doing to improve the quality and commitment level of our student. First, in marketing, we have continued to invest in national brand awareness campaigns to generate student demand from the highest converting media channels, such as our website, uti.edu, and paid brand search. We are now consistently achieving our goal of generating more than 50% of our inquiries from these higher converting sources. During the quarter, brand inquiries from our website and page search grew 36.5% year-over-year during the quarter.
 Turning to admissions for a moment. On a consolidated basis, we were pleased to see continued new student applications growth up 4.5% in the quarter as compared to the prior year. The growth in applications is driven by effective brand marketing campaigns targeting a younger student and an effective high school admission scheme, the new Bloomfield campus and our new welding programs in DFW.
 When thinking about student starts, it's important to remember that we have 3 tributaries for our student: students coming to us directly out of high school, adults seeking career-oriented training and retraining and military personnel transitioning from their source -- from their service to our country. As a reminder, new student starts grew 11.2% compared to the prior year's quarter. 
 All 3 segments performed well in the second quarter, but we were particularly pleased that our fiscal second quarter high school student starts grew 36% year-over-year. The growth in our high school channel reflects a shift in strategy to market to younger students who are more inclined to pursue education after high school as ordinary course versus the adult students who are enticed by the richness of the labor market today. We were also pleased that our adult segment grew 4.6% despite the lowest levels of unemployment in 50 years. And finally, despite continued military base access challenges, our military team was able to keep pace with last year's results. 
 The show rate for the second quarter improved 290 basis points year-over-year. This is an efficiency measure for the students scheduled to begin classes during the quarter and how many of them actually started school as planned. The continued improvement in the show rate reflects the quality of the student in his or her commitment level, the effectiveness of our Institutional Grant program and an improved student experience, especially for relocating students.
 We continue to implement process and productivity improvements across the entire student experience and organization to maximize operational efficiency and effectiveness. And one example is our scheduling initiative, where we're tightly managing the pipeline of students as they matriculate through school to optimize core sequencing and instructor-student ratios. Our plan for this year calls for $1 million in savings from this initiative, and we are on track to achieve it. Overall, implementation of our transformation has been very successful to date.
 Moving on, let's talk about our second strategic initiative, investing in highly accretive metro campuses and new program initiatives. Our metro campuses are very attractive to our students who are able to live and work at home while pursuing skills training. We know that students are more likely to pursue an education when they do not have to give up their job, leave home and relocate to a new city. 
 Our newest metro campus, which opened in Bloomfield, New Jersey during Q4 of '18, is doing very well. In just 3 quarters, we have grown to approximately 360 students in school and are expecting a very strong high school start season in the late summer and early fall. In fact, we've had to find ways to increase our start capacity during the fourth quarter to accommodate additional demand from high school students. As a reminder, we expect this campus to be accretive to earnings in its first 18 months and cash flow breakeven by year 4.
 We also opened our third welding program at our Dallas/Fort Worth campus in January. We're pleased to see new student demand for the program growing at this location just at it has in our California and Arizona campuses. As the programs fill quickly in at our existing locations, we're exploring ways to increase capacity, and we believe there are several other campus locations that can support this high-demand welding program. For the quarter, welding grew 35% year-on-year. While talking about program growth, with the exception of a single CNC program, every area of interest, such as auto, diesel, motorcycle, marine, collision repair and welding, grew new student starts year-over-year.
 Our third key strategic initiative is to rationalize our national footprint from primarily large destination campuses to smaller commuter campuses when and where possible. Rightsizing space requirements to match student population levels and thereby reducing occupancy costs is a key strategic priority for our business and allows us to operate profitably at any point in an economic cycle. We are accomplishing this objective by consolidating existing space, subletting excess space and/or offering new, expanded programs to better utilize existing capacity.
 In February, we announced that, as part of our strategy to move from large destination campuses to smaller campuses in markets with higher student density and industry demand, our campus in Norwood, Massachusetts is no longer going to accept new student applications. The campus is to remain open through the fall of 2020, and current students have the opportunity to graduate and continue receiving employment and student support services. Scott will provide more of the financial detail in a moment.
 In addition, we are aggressively pursuing additional rightsizing opportunities to build on our recent success in Rancho Cucamonga in Houston. This includes reduction upon lease expiration as well as options to reduce midterm. Rightsizing space requirements to match student population levels and thereby reducing occupancy cost is a key strategic priority, and we look forward to announcing more transactions when they are complete.
 In 2019, we are keenly focused on achieving our operating income, EBITDA and cash flow objectives through new student start and average population growth, improving operating efficiencies and the continued rationalization of our campus footprint. We remain confident in our new student start growth guidance for the full year, recognizing that there is some seasonality in the quarters. And while we're halfway through the fiscal year, we have more than 70% of our students scheduled to start in the second half of the year. In fact, 50% of our full year starts occur in the fourth quarter after high school graduation. Overall, based on our progress year-to-date, we are reaffirming our 2019 guidance and remain well-positioned for 2020.
 And now I'd like to turn the call over to Scott Yessner, our Interim Chief Financial Officer, for a few -- for a review of our financials. Scott? 
Scott Yessner: Thanks, Kim. In the second quarter, we continued strong performance towards our 2019 financial and operating performance objectives. As Kim highlighted, we achieved an important milestone in the multiyear transformation strategy with the average student population growing in the second quarter and for the first half of fiscal 2019.
 We produced $2.9 million of cash flows from operations and $3 million in adjusted free cash flow in the first half of fiscal 2019. We improved operating loss more than $3 million in the second quarter and grew adjusted EBITDA to $819,000 for the quarter and $2.1 million for the first half of 2019. In addition, we executed another step in building long-term profitability and cash flows with the Norwood campus exit announced in February. My remarks will provide more details on the campus exit and financial performance for the second quarter and the first half of fiscal 2019.
 In February, we announced the Norwood campus is closing by the fall of 2020, which will improve pretax income, EBITDA and cash flow by $4 million to $5 million in 2021. We structured the campus exit with no lease termination cost and an immediate $80,000 a month facilities cost reduction through vacating 88,000 square feet in February. 
 These cost savings and other cost reductions are offsetting the estimated GAAP net restructuring charge of $1.9 million, inclusive of broker’s fees, moving costs, personnel termination costs and leasehold improvement write-off and a deferred rent liability elimination for the campus exit. We recorded $1.25 million in net restructuring costs in the second quarter. After completing the exit, the long-term expense reduction is expected to range between $11 million and $12 million and revenue reduction is expected to range between $6.5 million and $7.5 million. Thus far, the Norwood teach out and migration of students is performing as planned.
 In addition, the Bloomfield, New Jersey campus is performing well and on plan to reach its financial and operating targets. Our Avondale welding program is also on target to reach 2019 financial objectives, and we are out to a good start with the Dallas campus welding program, which launched in the second quarter.
 In this earnings release, we have added Norwood onetime exit costs and Norwood campus direct operations in separate line item adjustments in the adjusted operating income, adjusted EBITDA and adjusted free cash flow reporting tables.
 Now I'd like to provide details on our second quarter and first half business metrics and financial results. New student starts in the second quarter increased 11.2% and, for the first half of 2019, 12.7%. So all new student starts were 2,022, an increase of 203, driven by starts from same-store campuses, the new Bloomfield, New Jersey campus and new programs. Average students for the quarter were up 182 or 1.8% and up 75 or 0.7% for the first half compared to 2018. We ended the second quarter with 203 more students than last year.
 For the second quarter of fiscal 2019 compared to the same quarter last year, revenues increased 1.3% to $81.7 million compared to $80.7 million last year, reflecting the average enrollment improvement which has driven -- which was driven by the improved student starts described earlier. Revenue was impacted by one less earning day during the 3 months ending March 31, 2019, which would have accounted for approximately $1.2 million in revenue.
 Total operating expenses decreased 2.4% to $87.3 million. This expense decrease includes the $1.25 million net restructuring charge for Norwood, which, excluded, would have decreased operating expenses even further. We'll realize expense reduction benefits from Norwood in the second half of the year and from the operating efficiencies built into our 2019 plan. We are on track to meet our operating expense objectives for 2019.
 Our operating loss for the quarter improved to 2 -- to $5.6 million compared to an operating loss of $8.8 million last year. Net loss for the quarter improved to $5.3 million compared to net loss of $8.8 million last year. Our adjusted operating loss was $4.2 million compared to an adjusted operating loss of $6.7 million. Adjusted EBITDA for the quarter was $819,000 compared to a negative $2.3 million last year. 
 Now for the 6 months ending March 31, 2019, compared to the same period of 2018. Revenue was $164.8 million compared to $161.8 million in the previous year. This revenue improvement reflects the multi-quarters of start growth, leading to increasing the average student population for the first 6 months.
 Total operating expenses were $177.6 million compared to $174.2 million. The increase was primarily attributable to the Norwood campus exit onetime cost of $1.25 million and $1.7 million greater spend year-over-year at this time for the transformational consultant. We made the final payment for the transformation consultant in fiscal first quarter 2019.
 Operating loss was $12.9 million (sic) [ $12.8 million ] compared to an operating loss of $12.4 million. Net loss was $13 million (sic) [ $12.9 million ] compared to a loss of $10 million. There was a $2.9 million tax benefit in 2018 comprising the difference between fiscal periods. Our adjusted operating loss improved to $7.2 million compared to $8.7 million. Adjusted EBITDA was $2 point million (sic) [ $2.1 million ] compared to $259,000 in 2018 for the first 6 months. Cash flows from operating activities were $2.8 million, improving $8.8 million (sic) [ $8.9 million]. And adjusted free cash flow was $3.0 million, improving $9.9 million year-over-year.
 On our balance sheet, we had cash and cash equivalents of $52.9 million at March 31, 2019. This excludes restricted cash. Also, we do not have bank debt. 
 The second quarter and first half 2019 operating results delivered a strong start to our fiscal year. We are reaffirming our previously stated 2019 outlook. We expect new student starts to grow in the mid to high single digits, and the average student population to grow in the low single digits in fiscal 2019. We expect full year 2019 revenue to range between $322 million and $332 million compared to $317 million in 2018, reflecting the expected increase in the average student population. 
 Operating expenses are expected to range between $337 million and $347 million. We expect an operating loss between $10 million and $15 million. Adjusted operating loss is expected to be between $6 million and $11 million. Net loss is expected to range between $10 million and $15 million. Adjusted EBITDA is expected to range between $9 million and $15 million. We expect to be operating cash flow and free cash flow positive in fiscal 2019 with our ending cash balance at or above that at the year-end of 2018. Capital investments are expected to range between $6 million and $8 million.
 With the strong balance sheet, substantial cash balance, no bank debt and materially improving operating and financial performance fundamentals, UTI is positioned well to take advantage of opportunities to further improve EBITDA and cash flows and deliver on the 2019 financial objectives.
 With that, I'll turn it back over to Kim for a few final thoughts. 
Kimberly McWaters: Thank you, Scott. I'm pleased with our progress for the first half of 2019 and our ability to deliver to our students the quality education needed to prepare them for careers that are in high demand. This work is grounded by our strong balance sheet and supported by the hard work done every day by the UTI team, our industry partners and employers. I look forward to working together as we continue to build on our first half successes and reporting back to you on our progress.
 And now operator, I think we're ready to open the call for questions. 
Operator: [Operator Instructions] The first question comes from Peter Appert with Piper Jaffray. 
Peter Appert: Scott, just following up on your Norwood comments. I want to make sure I've got the numbers right on this. So the restructuring charge in the quarter was offset by the rent reduction. So thinking about next year then, for fiscal '20, does the teach out cause a slight negative impact on earnings next year? Or are the savings sufficient to offset the shutdown cost? 
Scott Yessner: Yes. The next -- yes. The savings, it'd be -- we think it'll be positive, slightly positive between $250,000 and $500,000 in 2020. So the rent reduction and the personnel reductions are offsetting the reduction in students as -- and as we migrate students to other campuses, there's an offset to those balances. So we think we're about neutral to slightly positive for the Norwood exit next year. 
Peter Appert: That's great. That's definitely not the way it usually works in a teach-out mode. So congratulations on that. Kim, you mentioned, and you've mentioned before, other markets where there might be opportunities for resizing the campuses. Can you give us any color in terms of when we could see that, which markets might be relevant, what the economic implications could be? 
Kimberly McWaters: Sure. Well, we are looking at a number of markets where we have expiration dates on the horizon and probably, most notably, we're looking at the Exton market. We have a lease set to expire here in the not-too-distant future, and so we're looking at options as to whether to resize or relocate. We want to make certain that we are aligning our facilities with the student demand and employer demand in that market.
 We continue to look at all of our campuses in terms of opportunity to repurpose the space for programs such as welding and have identified the next couple of campuses for that program. It's premature to comment on it now. But just like we've identified areas for new campuses in the future, we have those markets identified. And we'll speak to those as we near the end of this year and move into fiscal '20. 
Peter Appert: Okay. And then Kim, I think you've said no new -- no further new campuses in fiscal '19 or '20. Maybe you could share with us your thought process beyond that in terms of sort of the cadence of what you'd like to see in terms of new campus opening. 
Kimberly McWaters: So again, I think we'll talk more about that as we get through the end of this year and at the beginning of '20. We should just note that we're seeing very good returns on the metro campuses that we have in Dallas, in Long Beach and, most recently, Bloomfield. We're seeing similar sorts of returns on those campuses that we have downsized and rationalized. So it's a two-pronged strategy: to find new markets to open those new campuses and to rightsize those that are existing.
 So without giving the specific markets away, I would think about it in terms of large metro markets where UTI does not have a presence or perhaps markets where UTI could have additional presence where there's both strong student demand and employer demand. And so there are a number of markets, and we're in the process of ranking those markets for the future. 
Peter Appert: Okay. Fair enough. And then Kim or Scott, can you talk a little bit about the trend in revenue per student and how that should go going forward? I think it's been trending a little bit lower, which I assume is mix and scholarship-driven. But just thoughts on what the revenue per student could look like going forward. 
Scott Yessner: Yes. I think so. Yes. Peter, that's accurate. We provide support to our students through a number of different mechanisms, and that does flow through our -- a good portion of that flows through our revenue line. That's something we manage to the needs of the students, that we manage that up and down as the circumstances support it. It's fairly stable. 
 We think we have a pretty good mix with some of the other programs we have in -- like welding. The sequence of -- the actual tuition rates are a little bit lower. But we also have other programs that are offsetting it with that -- that go into auto/diesel and then move into the OEM programs that sort of offset it to the other side. 
 So we think it's the -- the average revenue per student is fairly stable. We'll fluctuate near and around it, and there's factors that are going to both pull up and pull down on it from time to time. 
Peter Appert: Got it. Fair enough. And then lastly, Kim, I don't know if you're comfortable with this. But given the very good progress you had in the turnaround efforts, I'm wondering if you're comfortable at this point talking about longer-term financial targets in terms of, I don't know, sustainable enrollment or revenue growth rates, where you think margins can get to as you continue to execute on the turnaround strategy. 
Kimberly McWaters: Sure. I appreciate the question, Peter, and we're certainly looking forward beyond '19 and see a very strong 2020 on the horizon. So we believe that our margin should improve significantly. I'm not going to give you a number per se, but it should get into the high single digits, low double digits and continue to grow from there as a result of much more efficient operation and -- from a campus footprint and greater efficiencies achieved from a student acquisition standpoint.
 I'd rather hold until later in the year to talk about specific guidance for fiscal '20. I would expect that our start rate will -- our start growth, excuse me, will start to moderate. But I think mid-single-digit start growth looking forward is something very realistic as we begin to anniversary our transformation and new campuses. So I think you should focus on a mid-single-digit start growth in the outer years. And certainly with new campuses and new programs and those sorts of things, that will bolster that even higher. 
Scott Yessner: Yes. And I think I would just add to that with the comments we provided earlier in our communications. We do have significant leverage in our system and a very, very scalable platform. And so we do see a significant portion of the next student revenue fall into the bottom line, and you'll see that in 2020 without giving any specifics around numbers.
 Adding to -- further to the standpoint, I think our operating fundamentals across UTI, both financial and nonfinancial, are in the trajectory where we want them to be where we can continue to grow, invest. We're not distracted by other matters. We're not in a transformational process. We're really moving the company forward, and we have the cash and the balance sheet to support the things that the company needs, our students needs, the UTI team needs to reach greater financial objectives in the future. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kim McWaters for closing remarks. 
Kimberly McWaters: Thanks, operator, and thank you to all of you for joining us on our call today. We look forward to providing you an update on our third quarter, and we'll do that late summer. Meanwhile, have a great day today. Thanks again. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.